Operator: Good day, ladies and gentlemen, and welcome to the Levi Strauss & Co. Fourth Quarter Fiscal Year End Earnings Conference Call for the period ending November 30, 2025. All parties will be in a listen-only mode until the question and answer session, at which time instructions will follow. This conference call is being recorded and may not be reproduced in whole or in part without written permission from the company. This conference call is being broadcast over the Internet, and a replay of the webcast will be accessible for one quarter on the company's website levistrauss.com. I would now like to turn the call over to Aida Orphan, Vice President of Investor Relations at Levi Strauss & Co.
Aida Orphan: Thank you for joining us on the call today to discuss the results for our fourth quarter and fiscal year end. Joining me on today's call are Michelle Gass, our President and CEO, and Harmit Singh, our Chief Financial and Growth Officer. We'd like to remind you that we will be making forward-looking statements based on current expectations, and those statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in our reports filed with the SEC. We assume no obligation to update any of these forward-looking statements. Additionally, during this call, we will discuss certain non-GAAP financial measures, which are not intended to be a substitute for our GAAP results. Definitions of these measures and reconciliations to their most comparable GAAP measure are included in our earnings release available on the IR section of our investors.levistrauss.com. Please note that Michelle and Harmit will be referencing organic net revenues or constant currency numbers unless otherwise noted, and information provided is on continuing operations. Finally, this call is being webcast on our IR website, and a replay of this call will be available on the website shortly. Today's call is scheduled for one hour, so please limit yourself to one question at a time to allow others to have their questions addressed. And now I'd like to turn over the call to Michelle.
Michelle Gass: Thank you, and welcome, everyone, to today's call. The fourth quarter punctuated a strong year defined by progress against our strategy, accelerating brand momentum, and solid financial performance. Over the past two years, we've taken bold steps on our journey to become a DTC-first head-to-toe denim lifestyle retailer. We've made deliberate strategic choices to maximize the potential of the Levi's brand, narrow our focus by exiting non-core businesses, and vigorously pursue our highest return growth opportunities. We are becoming a more consumer-focused DTC-centric lifestyle company, which has led to faster growth and higher profitability. These efforts led to strong full-year financial results. In 2025, we delivered organic net revenue growth of 7%, which was broad-based across all facets of our business. Here are a few key highlights for the year. As a reminder, all numbers Harmit and I will reference are on an organic basis. First, the Levi's brand grew 7%. Levi's strengthened its standing as the number one denim brand in the world and today holds more market share than the next two global competitors combined. Second, we took a big step forward in our evolution to becoming a true lifestyle apparel brand by bringing to market our most robust head-to-toe product pipeline to date. This drove growth across channels and meaningfully increased our total addressable market. Third, we accelerated our DTC transformation, growing 11%, which now comprises approximately half of our total business. Importantly, we saw significant DTC margin expansion in 2025, as we delivered high single-digit comp growth for the year and a more efficient operating structure in both stores and e-commerce. Fourth, our wholesale channel continued to deliver more stable growth, ending the year up 4%, fueled by our expanded lifestyle assortment as well as new distribution. Fifth, our growth in women's continued to accelerate, up 11% for the year, with both tops and bottoms delivering double-digit growth in addition to 5% growth in men's. And while we drove significant top-line growth, we also delivered our highest ever gross margin as well as adjusted EBIT margin expansion. Now turning to details of the fourth quarter. Total company revenues increased 5% on top of 8% growth last year. And this momentum continued through the holidays, with 7% growth during the November holiday season, reflecting strength across both DTC and wholesale channels. This marked our highest revenue for the holiday period in at least a decade. First, I will walk you through the progress made against our brand-led strategy, which centers around how we're amplifying the power of the Levi's brand through an innovative and fresh product pipeline and culturally relevant marketing. The Levi's brand grew 4%, driven by strength in men's and even in Q4, higher growth in women's. Growth in men's and women's continues to be driven by both our core as well as the newness we've introduced throughout our assortment. A testament to the strength of the brand, in 2025, we cemented our number one position in men's, women's, and in our key youth demographic of 18 to 30-year-olds in the US. These share gains are supported by strong brand heat, reflected by higher social media engagement and meaningful gains in brand equity versus last year. In Q4, we continue to fuel our global brand momentum while strengthening our relevance in local markets. We unveiled a number of unique collaborations. Examples of these include a premium collection with FarBor and a limited edition footwear launch with Nike and Japanese streetwear icon, Nego. We celebrated our final chapter of the reimagined campaign with Beyonce, and launched our global campaign targeted at men featuring Shabuzy, and Maddie Mathison. And we also reinforced our long-standing link to music culture by celebrating a full decade as an official sponsor of Corona Capital, Mexico's largest music festival. Putting the brand front and center in our second largest market. Moving to product. Our evolution into denim lifestyle is resonating, and the Levi's brand is gaining even more share of the closet as our tops business continues to accelerate. The tops reset we initiated a few years ago, bringing in new internal talent, new vendors, and enhanced capabilities is paying off today. In Q4, tops grew double digits, driving nearly half of our revenue growth and meaningfully higher AURs versus last year. Strength was broad-based, reflecting growth across men's and women's which was driven by strong demand in our elevated assortment of sweaters, wovens, and outerwear. Tops will continue to be instrumental to our denim lifestyle strategy. And while we're pleased about our progress to date, we are just getting started as a destination for the tops category. Within our bottoms business, we are showcasing our most diversified portfolio yet with everything from our core icon to our innovative fashion fits and non-denim bottoms, all delivering growth. While skinny and straight fits remain popular, loose and baggy styles continue to accelerate. New styles like the 578 baggy for him, and our expanding Barrel family for her are fueling momentum as we own more of the denim market in both his and her closet. In Q4, we successfully completed the global rollout of our blue tab collection, which represents the most premium expression of our brand. While we are still in the early stages, the strong consumer response to this collection gives us conviction in the opportunity in the premium segment of the market, which is sizable and largely underpenetrated by the Levi's brand. In 2026, we will further expand the assortment and roll it out more broadly across our DTC business as well as select premium wholesale accounts. Looking to 2026, we enter the year with a robust product pipeline and a brand that's more culturally relevant than ever. For the first time in more than twenty years, Levi's will debut its newest ad during the Super Bowl which will be hosted at Levi's Stadium, marking the launch of our new global campaign that will run through 2026. With this kickoff and more major global moments to come, including several World Cup Games To Be Held At Levi's Stadium this summer, we are energized by the runway ahead and confident in our ability to keep driving the Levi's brand forward. Now shifting to our next strategy to be DTC first. In Q4, our global direct-to-consumer business delivered another quarter of double-digit growth, up 10%, and posted its fifteenth consecutive quarter of positive comps. We generated another quarter of high single-digit comp growth, reflecting positive performance across all store KPIs, including traffic, conversion, and UPT. In addition to AUR growth across every segment. In Q4, we opened 47 net new system stores, including mainline locations in Japan, India, Thailand, and Korea, as we continue to expand our DTC presence in Asia. Over the past year, we have transformed our retail operations both in stores and online, improving the consumer experience and store productivity. We've enhanced our in-store lifestyle merchandising, highlighting our broader assortment of head-to-toe looks. We've improved our assortment planning and life cycle management resulting in lower promotions and higher full-price selling. And we're rolling out a new global selling model for our store team which will deliver operational efficiencies and improved consumer engagement. We are still in the early stages of what we believe is an opportunity to continue to improve our DTC margins, which will be a key driver of our overall company margins. Our efforts to build a strong digital foundation have enabled us to accelerate our e-commerce business. And in Q4, we delivered another quarter of very strong e-commerce growth up 22%. We are leveraging AI to make online shopping easier and more inspiring for our fans. We recently launched Outfitting, an AI-powered feature in the Levi's app that creates style looks using our full assortment, purchasing behavior, and product imagery. This year, we'll evolve outfitting with even more consumer-centric customization, and we'll launch a new consumer-facing AI stylist chatbot that enables personalized recommendations through conversation. We are also continuing to scale the use of AI and advance analytics across the organization as we accelerate our shift to a best-in-class direct-to-consumer retailer. For example, we recently announced our plans to develop and deploy an integrated AgenTeq AI platform to simplify and automate task-driven work throughout the organization, driving efficiency, productivity, and enabling growth. Built in partnership with Microsoft and as a frontier firm in the industry, we're currently testing this technology and plan to roll it out to employees this year. These initiatives are rewiring the company for a bold future, creating meaningful opportunities to enhance consumer experiences while unlocking additional operational efficiencies. While DTC continues to drive outsized growth, wholesale continues to be an important channel for us to amplify the brand and reach our consumers where they choose to shop. Our global wholesale business was flat for the quarter and ended the year up 4%. The channel has stabilized over the past year as our efforts to elevate the brand and broaden the assortment gain traction. Now turning to our third strategy, powering the portfolio. In Q4, our international business grew 8% led by an acceleration in Europe and solid growth in Latin America. International comprises nearly 60% of total sales. And given the strength of the brand and our expansion into lifestyle, we see an immense opportunity for continued profitable growth outside the US. Beyond Yoga was up 45% in Q4, fueled by the positive response to our Seek Beyond campaign launched in Q3, and product expansion into new categories across active lifestyle. DTC performed particularly well and we opened four new stores in the quarter. Beyond Yoga ended the year up 17%. And as we look to 2026, the brand will continue to expand its retail presence in new markets, and launch the next iteration of our broadened lifestyle assortment. Looking ahead, I am more confident than ever in our future potential. While we continue to navigate a dynamic global environment, we do so from a position of strength with an iconic brand, deep connection with our fans, and the agility to adapt and grow. Our strategies are working. And we have the right capabilities and team in place to continue to drive momentum in the year ahead. We'll keep building our denim lifestyle leadership by bringing fans fresh new product across every category while continuing to celebrate the iconic styles that have shaped generations. And we'll continue to keep Levi's at the center of culture through a focus on sports, music, and youth, showing up powerfully on the world's biggest stages and sparking excitement that deepens our cultural relevance globally. All of this is supported by our continued commitment to drive operational excellence and to strengthen our execution grounded in a focus on discipline, accountability, and performance. I'd like to thank our incredible, talented, and passionate team for driving our transformation into the world's denim lifestyle leader and delivering outstanding service to our fans every day. Together, we're building a stronger foundation for sustainable, long-term value creation. And with that, I will turn it over to Harmit to review our performance in the fourth quarter, the year, and expectations for 2026. Harmit?
Harmit Singh: Thank you, Michelle. 2025 was a strong year with continued consistent profitable growth for our company. I'm pleased that our growth has accelerated over the last three years and we have established ourselves as a consistent mid-single-digit growth company which we expect to continue in 2026. We've also made progress each year on expanding margins both gross and operating, while driving higher returns on invested capital ending the year at approximately 16%. Our 2025 financial results reflect the strength of our business and demonstrate that we have the right building blocks in place to drive long-term sustainable growth. Our focus on denim lifestyle has enabled us to accelerate growth by expanding our total addressable market with our broadened assortment of non-denim bottoms, tops, dresses, and skirts which contributed to almost a third of our growth in 2025. Our disciplined approach to converting growth into profitability improved adjusted EBIT margin by 70 basis points in 2025. And we achieved this while navigating higher tariffs and investing in remapping our distribution network as we build the roadmap towards becoming a $10 billion DTC-first company. In 2026, we will continue to grow adjusted EBIT margins through our relentless focus on driving higher revenue flow through while making the right investments for our long-term growth. Including growing our store base, AI capabilities, and marketing. In addition, we're making meaningful progress on mitigating tariff impacts on our P&L through targeted pricing actions, higher full-price selling, lower product cost, and prudent management of our cost base. Now let me walk you through the specifics of our fourth-quarter performance. Organic net revenues grew 5% and were up 13% on a two-year stack. Our outperformance was driven by better-than-expected results across channels and geographies. As we have seen throughout the year, both AURs and units contributed to our growth this quarter. We expect both price and unit growth to drive the top line in 2026 and beyond. Gross margin for the quarter was 60.8% of net revenues, contracting 100 basis points relative to last year, in line with our expectations, primarily due to the impacts of tariffs which were partially offset by pricing actions and higher full-price selling. In the first quarter, we implemented additional pricing actions to further mitigate tariffs and while it's early, we are not seeing any impact on consumer demand thus far. Adjusted SG&A dollars grew 2.6% due to the sales upside driving higher selling and incentive expenses, higher costs associated with the transition of our US distribution network, and unfavorable foreign exchange. A brief update on our distribution network transformation in the US. While we're making progress, the transition to the new third-party distribution center has taken longer than we expected. We've been working to fulfill our high demand, by continuing to operate our own distribution center which has led to higher transitory distribution costs, which we expect to continue to incur through '26. We successfully executed a distribution transition from owned and operated to a hybrid model in Europe last year, enabling us to fulfill our strong demand as evidenced by the double-digit revenue growth in the quarter, while improving our profitability in the region. This gives us confidence that we will successfully complete the transition in the US this year. Moving down to the EBIT line, adjusted EBIT margin contracted 180 basis points to 12.1% related to the impact of lapping the fifty-third week and tariffs. This was slightly lower than our expectations due to the three reasons I mentioned before within SG&A. That is unfavorable effects, higher distribution cost, and incentive compensation. Fourth quarter adjusted diluted EPS was 41¢ higher than expectation. This includes a 3¢ headwind from a higher tax rate. We ended the year with reported inventory dollars up 9% to prior year and units up 2%. The year-over-year dollar increase was primarily driven by tariffs. We continue to believe our inventory, quantity, and quality are well positioned globally and expect inventory levels ending fiscal '26 to be below revenue growth. Turning to dividend and share repurchases. In quarter four, we returned $55 million to shareholders and for the full year, we returned $363 million up 26% versus prior year. This included a 7% increase in the dividend versus last year. And the $150 million share buyback in '25 was the highest annual buyback since the IPO. And today, we're announcing a $200 million ASAP program which will be completed within three months but no later than six months, reflecting our confidence in our future and continued efforts to drive shareholder value. Now let's review the key highlights by segment for the quarter. The Americas net revenues were up 2%. Our US DTC business grew 6% driven by strength in both brick and mortar and e-commerce. US wholesale was down, due to capacity constraints in our new 3PL as well as strong growth from a key digital wholesale customer in the prior year. Our LATAM business was up 8%, fueled by growth across most markets. And continued strength in DTC. Operating margins, which were up for the year, contracted 460 basis points in the quarter primarily due to the lapping of the fifty-third week and the impact of the tariffs. Europe net revenues accelerated up 10% in Q4, led by double-digit growth in our largest European markets, the UK and Germany. We delivered strong holiday performance and growth across all categories, including men's, women's, tops, and bottoms. Gross margin expansion and SG&A leverage resulted in operating margin growing 330 basis points versus prior year. Europe's operating margin for the full year grew 180 basis points. Asia net revenues grew 4% year over year, fueled by strong DTC performance. Key markets, including Japan and Turkey, delivered double-digit growth this quarter as a head-to-toe lifestyle offerings continue to resonate with consumers and drive growth. Operating margin expanded 140 basis points versus prior year, driven by gross margin strength. For the full year, Asia grew 7% and operating margin expanded 60 basis points. Now let's turn to outlook for fiscal '26 and Q1. We are pleased with our Q4 results and with our trends in the first quarter, including a successful holiday period. Looking to '26, we expect organic net revenue growth of four to 5% with one point favorability from foreign exchange resulting in reported net revenue growth of five to 6%. By segment, we expect the Americas to grow low single digits, Europe mid-single digits, and Asia mid to high single digits. By channel, we expect DTC to grow high single digit fueled by positive comp sales, opening 50 to 60 net new system dose and continued growth in e-commerce. Global wholesale is expected to be flat to slightly up given plans to rationalize our wholesale footprint particularly a few nonstrategic accounts in the US, in support of our brand elevation strategy. Gross margin is expected to be flat to prior year. This includes an approximate 150 basis points gross impact from tariffs which we plan to offset with pricing actions, higher food price selling, product cost reduction, driven by lower cotton rates, and vendor negotiations. SQ rationalization and favorable mix. FX is expected to be a 20 basis point headwind to gross margin. While these mitigation factors will begin to flow through the P&L early in the year, we anticipate the pace of benefit realization will accelerate as we progress through 2026 with a more meaningful contribution emerging in the later part of the year. The fundamental drivers of our gross margin expansion, which are mix higher full price selling, continued product cost reduction, remain intact. Positioning us well for resume full year expansion in 2027. We expect our fully adjusted SG&A rate to improve by approximately 40 to 60 basis points as the organization is increasingly focused on driving operating leverage. This is driven by cost actions to mitigate tariffs, expansion of our global talent hubs, limited headcount increases as we drive productivity, and efficiencies by expanding AI usage and easing costs from running parallel distribution centers in the second half of the year. For the year, we expect marketing spend to be approximately 7% of total revenues flat to $20.25. As a result, adjusted EBIT margin is expected to expand 40 to 60 basis points in the range of 11.8 to 12%. Given our mid-single-digit growth, and our focus on growing gross profit dollars ahead, of SG&A dollars we do expect to leverage for the full year. We expect the full year tax rate to be around twenty-three percent two points higher than twenty-five. And interest expense is expected to be approximately $12 million a quarter. Full year adjusted diluted EPS is expected to grow and be in the range of $1.40 to $1.46. This includes a 4¢ headwind from a higher tax rate and a 20¢ drag from the higher gross impact from tariffs which we are fully mitigating. CapEx should be approximately $230 million, 3.5% to 4% of revenues. Primarily to support store openings, fleet improvements, and our digital investment. Before I discuss our Q1 guidance, I wanted to give some color on the cadence of the P&L for the year. We expect consistent mid-single-digit revenue growth throughout the year with Q2 slightly lower due to seasonality. We expect gross margin to improve in the second half as we realize the benefit of pricing and lap the impact of tariffs. On a full-year basis, as previously mentioned, we expect marketing spend to be 7% of total revenue. However, this spend will be Q1 weighted given the timing of a global marketing campaign which kicks off in February with the Super Bowl. Because of this, we expect Q1 spend to be approximately a 160 basis points than Q1 twenty-five and lower in the remaining three quarters of the year. As a result of the Q1 marketing phasing, operating margin is expected to contract versus prior year in Q1 'twenty-six, and then expand as gross margin expansion and operating cost leverage take hold driving full-year growth. Now turning to the 2026. We expect organic net revenue growth of 4% to 5% consistent with our full-year forecast. And a three-point FX tailwind resulting in seven to 8% reported net revenue. On a two-year basis, this is an acceleration from Q4 twenty-five. And demonstrates that we are maintaining momentum. Gross margin is expected to be slightly down versus Q1 twenty-five, primarily due to the continued impacts of tariffs. As noted earlier, we have already implemented pricing actions earlier this month and additional pricing actions will occur in February. Adjusted EBIT margin is expected to be down 140 basis points versus Q1 twenty-five to 12% primarily driven by the timing of the marketing campaign. While the production costs and expense in the first quarter we expect to benefit from the campaign through the course of the year. Excluding A&P timing, adjusted EBIT margin leverages and in Q1, we expect adjusted diluted EPS in Q1. be between 35 to 38¢. This includes a 7¢ drag for from A&P. In closing. 2025 was another solid year for us while accelerating top line and bottom line, evidencing the success of our strategies and our transformation to a denim lifestyle DTC first company. We entered '26 with strong momentum. And a maniacal focus on expanding operating margin. With a robust product pipeline, growing TAM, and clear plans to mitigate tariffs along with a talented and experienced management team will look forward to another year of consistent growth and margin expansion. Beyond '26, we are confident about what's ahead. Iconic brand, global reach, and relentless focus in growth and cost management will continue to create lasting shareholder value well beyond 2026. And with that, Latif, let's open up the line for Q&A.
Operator: Thank you. The floor is now open for questions. Please press star then the numbers 11 on your telephone keypad. Due to time constraints, the company requests that you ask only one question. If you have an additional question, please queue up again. If at any point your question has been answered, you may remove yourself from the queue by Our first question comes from the line of Laurent Vasilescu of BNP Paribas. Your line is open, Laurent.
Laurent Vasilescu: Thank you. Good afternoon. Thank you for taking my question. I'd love to ask about gross margins. Harmit, you've historically beaten your initial gross margin guide. Are you taking the same conservative stance as in prior years with this guide of flat gross margins? How should we I think you talked about sequential improvement on the gross margin for the year, but can you maybe just put a finer point how do we think about the first quarter gross margin? I think expectations were a little bit higher for 4Q. And can you maybe just unpack a little bit more the drivers on Cotton Transit and the offset on tariffs for the bridge for the year. Thank you very much, Harmit.
Harmit Singh: Thanks, Laurent. I was it's a gross margin question for you is right on the money. But let's start with a little bit of history. Gross margin, you know, we have established a track record of consistent gross margin expansion as you said. Our algorithm talks about expanding gross margin regularly. Every year. Last year, '25 we grew gross margins a 110 basis points. And over the past three years, it's grown about a 400 basis points. And I'll talk a little bit about the structural drivers, which are intact. Talking about '26, our guidance is at this time, flat to prior. What we have done nicely is offset the full impact of tariffs. You know, as the year progresses. So tariffs, as I mentioned in my prepared remarks, impacts gross margins adversely by about a 150 basis points. And we have an FX headwind of about 20. We're fully offsetting this with higher pricing, you know, most of it's been implemented. We have we're not seeing any initial demand reaction to it. So the last thing is pretty good. More full-price selling, which is something that we've been focusing now for about twelve to eighteen months. Especially as a product, you know, newness is resonating well with the consumer. And then lower product cost. Which is a combination of lower you know, better and lower cotton, as well as queues the negotiation with the vendors as we rationalize you know, reduce unproductive you know, assortment, etcetera, etcetera. So the only thing I would say is the structural benefits, which is growing you know, more aggressively things like women's, is higher gross margin than men's. DTC, which is high gross margin in wholesale. And international, which is high gross margin than US. That's intact. So as we think about twenty-six, I think the way we flow this is first quarter will be slightly down than a year ago. Because the pricing gets effectuated and improves and accelerates in terms of year-over-year performance as the year progresses, and we start lapping tariffs. And as we think about '27, Laurent, you know, our view is, you know, this is we don't guide '27 right now, but our view is the structural aspects that we're focused on growing which is through mix, which is DTC, women's, and international will resume the acceleration of gross margin in the years to come. So that's how we're thinking of gross margins you know, and I hope that answers your quest.
Laurent Vasilescu: It does. Thank you very much, and best of luck.
Operator: Thank you. Our next question comes from the line of Matthew Boss of JPMorgan. Your line is open, Matthew.
Matthew Boss: Thanks, and congrats on another nice quarter.
Harmit Singh: Thanks, Matt. So Michelle, how does your mid-single-digit organic outlook for this year size up to the denim category? Maybe where do you see opportunity to increasingly move to offense this year? And then Harmit, on that topic, you elaborate on the acceleration to 7% organic growth in November and December? Think that's on top of 8% growth a year ago, so a mid-teens two-year stack. Just could you speak to the strength that you're seeing? And have you seen any softening in top-line momentum post-holiday?
Michelle Gass: Okay. Great. Matt, I'll yeah. I'll start with your first one. We feel really good heading into 2026. I mean, I'd say it's clear that our strategies are working, and just as '25 was a strong year, plus 7% organic growth, we're expecting 2026, as you said, mid-single-digit. Four to five organic, five to six on a reported set basis. You know, highlights from my standpoint are number one, you know, I'd say that we are in the best shape that we've been in decades. Both operationally and financially. '25 is certainly a good proof point of that. Our strategies of being brand-led, DTC first, empowering the portfolio are clearly working, and they're driving broad-based growth across channels, categories, genders. And I think what's really exciting is we're making this big transformation, as you know, from a denim bottoms business to a true head-to-toe denim lifestyle company. So when you think about four to 5% mid-single-digit growth ahead, you know, we do expect Matt to outperform the category. I mean, the category, and as you're talking just denim, it is accelerating globally. And as a leader, we are fueling that growth. You know, on that note, in the US, which is also growing we have cemented our position as the number one share for men's women, and youth. And it's the first time that we can remember that all three of these targets have grown share and are number one. So it gives us tremendous confidence that strategies aren't changing. We're leaning in and we're executing. And the last point I would make is you know, just as we plan to continue to fuel the denim category, we've expanded our total addressable market. Right? We're no longer just in denim bottoms and in fact, as Harmit mentioned earlier, about a third of our growth this past year was driven by categories outside of denim bottoms. So speaking to top, which had a really fantastic year of double-digit, we expect that tailwind to continue. Non-denim, again, it's growing fast. We expect that to continue. And then, of course, we think about the women's business, women's had a great year, up 11%. But that head-to-toe dressing from, yes, being relevant in fashion and loose, baggy, all the icons, but then also in skirts and dresses. Tops. So there's a lot of runway as we look into 2026 and beyond.
Harmit Singh: And your second question, Matt, I think, you know, holiday was strong for us. It centered around two strategies. One is DTC. So as you become a DTC-first company, as a team, we're really focused on making sure we win in holiday. We made sure you know, there's newness on the flow, we made sure the product that, you know, is you know, being innovative was both with our wholesale customers as well as in our stores and on e-commerce platform. Then the team's really executed really well. So that's, fact number one. Fact number two is just building on the standpoint that Michelle talked about. That's centered around the denim lifestyle. You know, focus. The myth I would like to bust you know, is that we are we're just not only denim bottoms. We are more than denim bottoms. I mean, this is more of a head-to-toe lifestyle denim-focused company. So think about the outerwear. Our teams shout out to our product teams and merchants, product team led by Karen Hellman and lead merchants. We sold a lot of sweaters. You know, more than we have sold in a long time. You know, we sold a lot of chinos. So I can go and just talk about the different products that were introduced in holiday that really helped. So that's what gives us the confidence that we can grow Q1 and a two-year stack at 14%. You talked about November and December at 15, but, you know, for the quarter, you know, that gives us the confidence. And sustaining the 7% organic growth with you know, four or five organic growth in 2026.
Matthew Boss: It's a great color. Best of luck. Thank you.
Harmit Singh: Thank you.
Operator: Our next question comes from the line of Jay Sole of UBS. Your line is open, Jay.
Jay Sole: Thank you. You know, Michelle, in the prepared remarks, you made a comment that you believe that the direct-to-consumer channel margins can move higher. Can you just dive into that a little bit and tell us what are the drivers and where do you think the margin can go from where they are today?
Michelle Gass: Yeah. Absolutely. Thanks, Jay, for the question. We believe that there's a lot of upside in DTC from a revenue standpoint and margin. You know, as I commented earlier, 15 quarters of positive comp growth. So first of all, margin growth will come from leverage, you know, call it sales productivity. As we continue to drive higher volumes, we'll clearly leverage off of the fixed costs in our store, which includes, you know, your real estate, your fixed labor, just a lot of, you know, a lot of those, like I said, fixed costs. Secondly, I would say is, you know, we are really focused on retail excellence. That had a big impact in expanding our store margins this past year, and that will continue. So we're stepping up our operations capabilities. That includes things like enhanced lifestyle merchandising. So when the consumer is coming in, they're not just buying a pair of bottoms, they're also buying the top. So driving UPTs, driving average ticket price, etc. Improved assortment planning and life management. You know, we talk about rewiring this company to be a retailer and that's happening. We put new systems in place. We're in the midst of rolling out a new planning allocation system that's gonna benefit sell-through. Keeping us in stock. So and I would say historically, you know, that wasn't a core strength growing up as a wholesale company. That wasn't a core strength of ours. It has to be now. And you see it in the numbers to date. You'll see it going forward. And then lastly, would say, again, operating with a retail merchant mindset, is the selling model, and we have a new global selling model that's rolling out worldwide. So, you know, our expectation, the margin expansion that we saw this past year, we expect that to continue. We feel really good.
Jay Sole: Got it. Okay. Thank you so much.
Michelle Gass: Thanks, Jay.
Operator: Thank you. Our next question comes from the line of Bob Durbel of BTIG. Please go ahead, Bob.
Bob Durbel: Hi. Good afternoon. Congratulations on a nice quarter. I guess, was wondering if you could focus in on Europe a little bit more. Either country trends or the blue tab business have a big impact and those results over there? Looks pretty good. Thanks.
Harmit Singh: Thanks, Bob. So first, a big shout out to the Europe team. You know, they had a phenomenal year. They were up in the mid-single digit. The strength in Europe for the quarter was up 10%. End of the year really strong. And entering '26 with momentum. The strength was you know, evident. I talked about UK and Germany, my remarks being up double digit. But you think about the channels, both channels are up wholesale actually led the way with 13% growth. Growth and you look at the other markets, Bob, most markets grew in Europe again, very strong holiday. The team in Europe does a great job executing against the strategies. You know, women's was up 10. Men's was up nine. As an example. And then e-commerce was up, you know, in a big time. So overall, really strong results. It translated you know, driving growth is one thing, but it's important as the growth translates to profitability, and it translated with operating margins up 380 basis points. So let's think forward. 26 with you know, we are signaling Europe growth mid-single digit. And you think of the prebook, which is the first sign of you know, how the wholesale customer will shop. Our prebook is up mid-single digit. So I think that's just, you know, just thinking about Europe for '26 and, you know, what drove 25.
Bob Durbel: Great. Thank you.
Michelle Gass: Thanks, Bob. Okay. And on BluTab, do you wanna take a question? No. Happy to talk. So Blue tab is clearly a global opportunity for us. So yes, in Europe, but across the globe. And we're really excited about this because we think this presents a new business for us. The premium category is largely untapped for us. It's sizable. It's growing, and we're significantly underpenetrated. So early signs for BluTab are very positive. We just rolled it out early early in 2025, and it is the pinnacle expression of our brand. Very elevated, you know, commanding price points for bottoms for $200 to $350. Truckers, $250 to $400 the list goes on. And we're early in the early stages, we're testing, we're learning, we're scaling, but it is showing that the consumer is responding and that we have permission to play in this elevated premium market. And, you know, we have we've also had green shoots through the collaborations that we've done for a long time, which have commanded those really elevated price points. But now we're really going to lean in. It isn't going to be you know, these in and out collaborations. We see it as an ongoing business, that not only will represent a commercial opportunity, but it's a great halo to the entire line. So I think more to come, but you know, we're bullish on really getting into this premium category.
Bob Durbel: Good luck. Thank you, Michelle.
Michelle Gass: Thanks, Bob.
Operator: Thank you. Next question comes from the line of Oliver Chen of TD Cohen. Please go ahead, Oliver.
Gabriela Gar: Hi. This is Gabriela Gar on for Oliver. Thanks for taking our question. We think to hear a little bit more about any improvements that you're seeing within supply chain and progress that you're making on shortening go to market within your products I know you mentioned AI being an efficiency driver within the corporate setting, but would love to hear any additional color on supply chain. Thank you.
Michelle Gass: Why don't why don't Harmit and I both take this one? Let me talk about kind of end-to-end chain as it relates to product development. And I think Harmit can speak to our distribution transformation. So, as you know, we've been on this journey as we pivot to become a DTC retailer to shorten our timelines, drive global consistency, etcetera, and we're making good progress. We've taken a few months out of our end-to-end lead time, so we've shortened that. From, you know, what was sixteen, seventeen months down to fourteen months. We're now focused on creating different tracks of products. So for example, in tops, we're going after shorter cycle times, looking at vendors who are closer to the point of distribution, etcetera. We have a new head of supply chain, Chris Caliari, who comes with deep experience in vertical retail and has a very, you know, very strong strategy to go after those opportunities. So that's point number one. Point number two, a key enabler to that is driving greater global consistency. So what used to be we've always developed our products here in San Francisco, but it was more kind of a bottoms-up approach. Now what we've seen is really more of a top I'll say tops down, but having a globally directed line. For perspective, back in like twenty-three early twenty-four, our globally directed line was about 20%, we're now 50%. On our way to 70%. And with that, it clearly drives a lot of efficiency. So over time you'll see that show up in, you know, an inventory turn and sell-through and productivity, and also it allows us to really get behind those big bets from a marketing standpoint and leverage our resources. So the second and then the third piece somewhat related is we continue to be really focused on reducing our SKU count. And we are we are still ranging in the reduction of about 20%, 25%. Again, all of these things will help enable margin accretion over time.
Harmit Singh: Yeah. And on the Gabriela, to the question on distribution, just by context, you know, two years ago, we began remapping both US and distribution network. To a more hybrid automated omnichannel model largely done with the intent to support our long-term growth. And ensure we meet growing consumer demand. Europe, as I mentioned in my script, is fully transitioned, and we're seeing clear top line and bottom line opportunities. In the US, the ramp-up has taken a little longer than we expected. And so we supplemented this by ensuring that one of our own facilities stayed open a little longer, as well as increase the manual operation because to be honest, the demand outstripped our expectations given the wonderful product that we have and, you know, we have introduced in the marketplace. We brought in distribution experts into our organization. Helping us complete the transformation. We're working with our third-party leading logistic partners, you know, and so we're confident of completing this by the end of the year. And as you saw from the Europe numbers, you know, when it is complete, it does make a big difference to top line and bottom line.
Gabriela Gar: Thank you. Thank you, both.
Operator: Thank you. Rick Patel of Raymond James. Your question, please, Rick.
Rick Patel: Thank you. Good afternoon, and congrats on wrapping up a strong year. Related to the new DC. So we wanted to double click on the delays you provide additional color there? And what gives you confidence it will come online in the back half? And then as we think about the SG&A impact, what's the right way to think about the impact that DC will have as we think about the transitory cost in the first half versus what should be a sizable opportunity to drive leverage from efficiency in the back half?
Harmit Singh: Yeah, sure. Thanks for asking the What gives us confidence is a couple of things. One, we've got a great team on our side and a great team with our third-party logistic partners. Working together to try and solve it and do it in a way that we are able to meet consumer demand while setting ourselves for the long term. So that's fact number one. Fact number two is you know, I mean, this is a daily, if not a weekly, discussion. And Michelle and I and the top teams, you know, management teams on the other side are directly in conversation. And the other only proof point I would have there is we've seen it happen in Europe. There's no reason why it shouldn't happen. In the US. So that's addressing your question to the question on SG&A. Know, our focus on SG&A has risen to an all-time high within the company. I think you can ask the entire management team in the company, they'll say, this is a group that really wants to drive more leverage. And the best way to explain this Rick, is to say, let's convert a higher percentage of our growth, our gross profit dollars into EBIT dollar. You know, what gives us confidence in 2026 is a few things. One, you know, a higher volume, four to 5% organic or five to 6% reported. Should leverage. Second is, I think, Jay, you asked the question about DTC product. Productivity. You know, again, a mid to bust, higher DTC doesn't mean lower EBIT margin. So you think about last year, our DTC margins were up 300 basis points. So EBIT margins were up. We've got plans to grow DTC margins even in 2020. In 2026. The other thing is have limited headcount increases. And the way we're doing it so that we manage growth with resources is really leverage the user AI and we've got global talent hub. Which is centered around the world across all functions. Where we're leveraging talent. And that should help us you know, offset some of the cost increases. And your question about distribution cost we feel the parallel running of the DC that pressure eases by the first half of the year. So you start seeing some of the benefit in the second half of the year, and you see that in the P&L. And overall, our SG&A rate as a percentage of revenue, which we have always said will be around 50%, we think in '26 will be lower than that.
Rick Patel: Very helpful. Thank you.
Harmit Singh: Thanks.
Operator: Thank you. Our next question comes from the line of Tracy Kogan of Citi. Your question, Tracy.
Paul Lejuez: Hey. It's actually Paul Lejuez from Citi. Hey, Paul. You mentioned you mentioned several rounds of price increases I was wondering if you could just talk about where those are happening and the magnitude and maybe tie that into your assumptions for growth by geography in F twenty-six as you think about the breakdown between price versus units in each of the three geographies you mentioned?
Michelle Gass: Sure. Paul, I'll take that one. So, yeah, as we talked about earlier, we are taking, call it, thoughtful, targeted pricing actions. As part of our tariff mitigation. And that's largely happening in the US, although as ordinary course of business, we do take pricing around the world as we mitigate things like inflation and the like. But, you know, our focus for the most part was here in the US. I will say we have not seen any consumer or customer reaction to date, which I think is a testament to the strength of the business and the momentum we have and the consumer responding to our product or marketing efforts. And I would say that we have pricing power given how strong the brand is right now, the market share gain, so, you know, where it's appropriate, especially in our higher higher tiered and newness innovation, we're leveraging that pricing power. While at the same time taking more modest pricing and being very diligent on, call it, those tier three lower priced entry-level prices. So the teams, you know, we have more data and more sophisticated models than we've ever had leveraging AI as a matter of fact. Informed by market analyses, demand elasticity, and, like I said, being very targeted on how we took that pricing. We took some last year fairly modestly. We have more and that was mostly from a to to the to our customers. Now from a consumer-facing standpoint, we do have pricing going in. Both in DTC and in wholesale in February. We'll be staying really close, but again, we have confidence as we head into 2026. And to your point on AUR versus units, we're expecting like we saw this last year, we're expecting both to grow in the coming year.
Paul Lejuez: And so is there is there any difference by geography in terms of the AUR versus units? Would imagine with with the US, price increases or don't.
Harmit Singh: We don't necessarily guide at that level by geography, but the fact that we're expanding TAM and we're really focused on driving higher units per transaction. Which means that know, we are saying, you come in to buy a denim bottom or non-denim bottom there is now a great top available for you. That should drive units. Around the world.
Paul Lejuez: Thanks, guys. Good luck.
Harmit Singh: Thanks, guys.
Operator: Thank you. Our next question comes from the line of Brooke Roach of Goldman Sachs. Your line is open, Brooke.
Brooke Roach: Good afternoon, and thank you for taking my question. Harmit, Michelle, I was hoping we could drill down a little bit deeper into your growth assumptions for the Americas business in 2026. It sounds like you have some strong momentum in DTC. You're taking a little bit of price. You sound pretty positive on units. But the growth would suggest that things are a little bit more challenged there. I think you mentioned that US wholesale is going to go through a bit of a rationalization this year. Can you help us understand what what's happening there? And where the opportunity for upside is in your Americas business this year? Thank you.
Harmit Singh: Sure. So, Brooke, overall, the US grew the you know, in '25 by 4%. DTC, you know, was the standout. You know, growing 6%. But wholesale also grew you know, in the year. I think in the quarter, the, you know, US was flat. That is largely driven by, you know, as I mentioned in the call, two factors. One was we were lapping you know, a high sale in '24 from a large digital customer that was just timing. And the capacity constraints on the DC. And if you if you, you know, exclude that, or you, you know, adjust for the impact of that, in the quarter, US and US wholesale would would have been uploaded mid-single digits. So US has had a great year. To your question about next year, you know, our expectation is the US grows low to mid-single digit. Wholesale globally, our view is, you know, flat to slightly up. That's largely driven by the rationalization of some nonstrategic accounts in the US. I mean, you know, as we you know, focus on elevating the brand, and, you know, taking this business to the next level. Our view on wholesale is that it's an important channel for us, in fact, key channel allows us to reach a lot of fans. And, you know, the broader assortment that Michelle referred to in her prepared remarks. Etcetera, as a resonate with the consumer and DTC, we're able to take to wholesale. And I think that should drive growth over time.
Operator: Thank you. Our next question comes from the line of Tom Nikic of Needham. Your line is open, Tom.
Tom Nikic: Hi. Hey, everyone. Thanks, John. Want to follow-up on Brooke's question there. Recognizing that there's the headwinds from some of the wholesale rationalization in the US, I'm just wondering what the business looks like in your strategic wholesale accounts in the US, how have sell-through rates been, you know, how how how will the order book shaking shaking out, you know, etcetera, just, you know, what what does it look like among the strategic accounts in the US?
Michelle Gass: You bet. Tom, I'll take that one. Thanks for the question. First, I think it's important to reiterate that we believe in the wholesale channel. You know, this is really an and story versus an or. Yes, DTC, we expect to continue to outperform, but over the long term, we expect wholesale to be slightly positive over time. You know, we've guided about flat for next year, and I think we're guiding that despite the fact. That we are rationalizing in some nonstrategic accounts, things like, I would say, the grocery channel that we're we show up in today in the US. So I think it's a good thing for the brand and again we're driving to flat even despite some of these account decisions. As it relates to our core strategics, I think the partnership are really strong. These accounts are embracing denim lifestyle. Tops, men's and women's, I mean really Levi's getting into the top category. In wholesale in a meaningful way is a new step forward for us. Women's accounts have really embraced our women's strategy and you'll see that in key accounts where they've expanded the footprint. In some cases, we've expanded doors. And then this head-to-toe denim lifestyle getting into new categories like skirts, dresses, etc. So we really do see it as a compliment, and I think one of the really great things is that in DTC, we can launch products first and they get to see the results and then we can take them to wholesale. And we've seen that model play out. One of our big hits of the year was the Cinch Baggy and that took off both in DTC and in wholesale. As we look ahead, you know, around the world, for example, you know, we had positive growth in Europe even in the quarter. We the the order books are positive for next year. Latin America, again, for the quarter. So net net, I think it's a really good story as we've expanded our addressable market to expand these categories. And let's not forget, even in Q4, from a total business standpoint, grew market share in men's, women's, that youth target. I'll wrap it up by saying, you know, we're bullish across all channels and there's so much opportunity for Levi's in our core denim bottoms business and head-to-toe lifestyle.
Tom Nikic: Great to hear. Thanks very much, Michelle, and best of luck this year.
Michelle Gass: Thank you.
Harmit Singh: Thanks. Thanks, everyone, for joining the call, and we look forward to talking to you next quarter.
Operator: Thank you. This concludes today's conference call. Please disconnect your lines at this time. Have a great day.